Jose Perez: Good afternoon, everyone, and welcome to today's call. Thank you all for joining us today. Now on the call today, we're joined by our CEO and founder, Aroosh Thillainathan, alongside Elliot Jordan, our Group CFO. Before we start, as usual, I must remind you that, as always, this presentation and management's comments reflect underlying assumptions and include forward-looking statements. I will not read the full disclaimer, but I will assume it has been read for the purpose of this call. Now let's start by walking through today's agenda. First, Aroosh will provide an overview of Northern Data and share some key highlights from 2024. Next, we'll dive into the financials; Elliott will review key performance metrics. And finally, we'll wrap up with a Q&A session, giving you the opportunity to ask questions and address any points in greater detail. And with that, I'll hand over to Aroosh.
Aroosh Thillainathan: Thank you, Jose, and good afternoon, everyone. For those of you who are less familiar with the company, Northern Data Group is a leading provider of AI and high-performance computing solutions. We are a global company with a European heart and we work closely with a select group of partners to optimize our infrastructure and ensure our products meet the increasing demands of the fast-growing AI market. Taiga Cloud is the answer to the exploding generative AI market, which is expected to grow to more than USD 1.3 trillion by 2030. Taiga Cloud is Europe's largest generative AI cloud platform. All solutions are filled by the latest NVIDIA technology solutions. They provide true data sovereignty running mostly on carbon-neutral energy. Through our Ardent Data Center business, Northern Data supports the rapidly expanding demand for data center capacity, driven by advancements in both cloud technology and generative AI. With Ardent, we are pioneering a new era of high performance and efficiency, which leverage more than 25 years' experience in design and operation. Finally, our heritage Peak Mining business supports the global adoption of digital assets into the wider financial ecosystem. Our vision is to become the leading European AI cloud and to power the next generation of AI through sustainable state-of-the-art, high-performance computing solutions. 2024 was a successful year for the company, which has made significant progress in the strategy and bringing its vision to life. Our vision and overall business model is driven by major trends that are shaping the future of the industry. The advent of gen AI has brought exponential growth to the HPC space and the speed of AI adoption has significantly boosted demands on the infrastructure required to train and support increasingly large LLMs. Further, finite access to the compute hardware required to run AI and LLM programs, combined with limited know-how for maintaining data center infrastructure, have left companies and individual scrambling to keep up. As an elite partner to NVIDIA, Northern Data is 1 of just 11 sovereign AI clouds globally to be selected as a partner for the latest Grace Blackwell technology by NVIDIA. Finally, as these GPUs are significantly more power hungry than their predecessors, adding more pressure to the energy grid, Northern Data has taken steps to offer carbon-neutral solutions to our clients. I'm proud of the work we have done over the last 2 years to stay ahead of these trends and believe we are well positioned to capitalize on the business opportunity ahead by delivering for our clients who are on the cutting edge of gen AI innovation. On that note, let me cover in the next slide how our vertically integrated business model is well positioned to lead the growing and evolving AI market and deliver best-in-class AI solutions to our clients. Last quarter, we shared with you some early thoughts around our product platform. Our vertically integrated model starts with the foundations of our network of cutting-edge data centers, which are optimized for HPC and AI workloads. All data centers are purpose-built to support specific technology requirements. For example, our new AI HPC data centers are implementing the latest on-chip liquid cooling technologies, enabling power densities of up to 120 kilowatts per rack. This allows us to have greater control of our own destiny, owning the data center capacity to host our GPU-based infrastructure and helping us to deliver superior performance at lower cost. Our infrastructure is built for uncompromising performance, NCP certified and aligned with EU sovereignty requirements. This is work in progress, and we continue to add more components to the stack. We are also focused on expanding our managed services and software capabilities to make it easier for customers to take advantage of the products and services that we offer. We are making good progress and we'll share additional details at a Strategy Day later in the year. At the Capital Markets Day we hosted in 2024, we told you that it would be a year of execution and we have delivered on that. During the year, we laid the foundation of a network of cutting-edge data center aligned to our long-term strategy and positioned to deliver a range of use cases. At the end of 2024, we had almost 300-megawatt capacity in Europe and in the U.S. We also added critical infrastructure by developing the largest pool of GPUs in Europe, including large and highly complex clusters. This has resulted in a record Cloud revenue of EUR 121 million, 722% up from 2023. In parallel, as we told you in the last quarter, the capacity of our mining operations went up to 7.9 exahash. Alongside this, we continue to develop our technology and product road map adding to the top layer of the stack. The AI market continues to grow and it was -- and I'm really excited about the opportunities ahead of us. We continue to augment our team to position Northern Data to successfully execute on the enormous opportunities in front of us, most recently, with the appointment of our new Group Chief Technology Officer, Adam Low. Adam brings more than 30 years of experience in technology and product leadership, including building, scaling and operating complex global infrastructures across domains, including IT, cybersecurity, operations, engineering and network architecture at companies, including Telstra and BT. Finally, we strengthened our governance and financial reporting with quarterly reports through the year. We also expect to publish your audited 2024 results by the end of March 2025. Our path to certifying our position as a leader in AI solution is clear and we are executing our plan to realize that ambition. Our team has the right mix of skills and experience to ensure that the company will continue to power the next generation of AI advances. Northern Data remains the largest AI cloud platform in Europe and one of the largest in the world. We have best-in-class data center environments and a viable cost structure, sustainable hardware and technology, relationship with leading partners and strong capital position to make meaningful investments to drive our strategy. 2024 has been a stepping stone in the repositioning of our business into AI, and we are well placed to continue on our path to become the leading European AI cloud. We look forward to providing more details on our progress and plans alongside audited 2024 results in March and at the Strategy Day later this year. I will now hand over to Elliot to walk us through financial performance.
Elliot Jordan: Thanks, Aroosh, and good afternoon, everyone. I am pleased to be sharing with you the preliminary financial results for Q4 2024. Q4 closes out an extremely successful year for Northern Data. Our plan was to invest close to EUR 1 billion to embark on our high-performance compute and gen AI cloud infrastructure strategy. We expected to start to see that investment pay back in terms of revenue and profitability growth and we wanted to set ourselves up for further progress as we move into 2025 and beyond. This was an ambitious plan backed by our shareholders and I'm pleased to say that we have achieved what we set out to do. This can be demonstrated by the results we are announcing today with revenue growth of 159% year-on-year to just over EUR 200 million at EUR 200.5 million, as guided. A significant increase in profitability, which is expected to be up from negative EUR 5.5 million in 2023 to EUR 60 million to EUR 80 million in 2024 at the adjusted EBITDA level, which is an increase to the lower end versus the previously stated guidance range and positive operating cash flow in Q4. In addition, we remain well funded with EUR 120 million in cash and cash equivalents at year-end. Operationally, we successfully acquired over 22,000 NVIDIA H100, H200 GPUs, driving sequential revenue growth each quarter of 2024 and we grew our Bitcoin mining capacity to 7.9 exahash, enabling us to maximize favorable market conditions to achieve 88% year-on-year revenue growth in Peak Mining in Q4. We are set to see further revenue, profitability and operating cash flow growth into 2025 as we bring all GPUs in the estate to full operational capability and expand our customer base. Looking at Q4 revenue in more detail. Our Q4 group revenue position was EUR 86 million, up 281% year-on-year, bringing full year 2024 revenue to EUR 200 million, up 159% year-on-year in line with guidance. Cloud revenue stepped up 16% quarter-on-quarter from EUR 48 million to EUR 55 million, representing 63% of group revenue in the quarter and at EUR 121 million for the full year, representing 60% of revenue for 2024 as a whole. This sequential increase in Cloud revenue mirrors the continuing deployment of GPUs alongside expanding existing customer relationships and improving overall utilization of fully deployed GPUs. Taiga remains the main customer of Ardent Data Centers, so external data center revenue was minimal for 2024. I expect Cloud revenue to increase further in Q1 '25 as we increase AI compute capabilities by fully deploying all GPUs in the estate and as we continue to onboard more customers in the coming months. Mining revenue peaked during Q4 as expected and was up from EUR 12 million in Q3 to EUR 32 million in Q4, an increase of 171% over the prior quarter and 88% year-on-year. Our investment in efficient miners and growth in capacity means our share of the block increased from 0.77% in Q3 to an estimated 1.2% in Q4 at 7.9 installed exahash. Additionally, operational uptime increased from 66% in Q3 to 81% in Q4. This means the number of coins produced in the quarter almost doubled from 209 in Q3 to 404 in Q4. This allowed us to maximize the opportunity of a higher Bitcoin price, up 42% quarter-on-quarter to deliver the strongest quarter of revenue year-to-date. We continue to maximize Peak Mining revenue until a sale of the Mining business is completed, which remains our strategic objective and is progressing well. The full year financial results, as shown on the slide, replicate the shape and outcome we guided at the start of the year, with sequential growth each quarter in Cloud revenue, a strong Mining revenue position in Q4 with additional capacity on stream and an increase in adjusted EBITDA each quarter to achieve our overall goals. The sequential increase in revenue in Q4 and improving operational leverage means Q4 adjusted EBITDA is expected to be above that achieved in Q3 and we are now forecasting full year adjusted EBITDA of EUR 60 million to EUR 80 million. Turning to cash for the year. We continue to be well funded, with cash on hand of EUR 120 million, in line with our expectations. As expected, the overall full year cash flow for 2024 was financing inflow of EUR 903 million; investing outflow of EUR 987 million, including EUR 850 million for GPU acquisition and deployment; and whilst operating cash flow was positive in the final quarter, operating cash flow for the full year was an outflow of EUR 39 million. We expect positive operating cash flow in 2025 as a whole. I'll take this opportunity to remind you that the figures presented today are unaudited. We have started the annual audit process and expect to publish our audited financial report and accounts by the end of March 2025. At that time, we'll be providing further detail on the full 2024 position, but I'll leave with you a final slide of key points. The 2024 financial results demonstrate how the successful repositioning of the group in building out the HPC infrastructure has driven significant revenue growth and a return to EBITDA profitability. We continue to grow and scale this infrastructure and will drive further revenue growth and expansion of profitability in 2025. This allows us to invest in further growth in the business, deploying capital for continued revenue and operating cash flow growth in '25 and beyond. Finally, we continue to reinforce our governance, reporting and internal control systems. We are building a strong framework across the business. We have enhanced our financial reporting and Investor Relations' bench strength over the last 12 months and I'm pleased with the progress we are making. With that, I'll hand over to Jose to open the call for Q&A.
Jose Perez: Thank you, Elliot. Becky, are there any questions on the queue at the moment?
Operator: [Operator Instructions]  Our first question is from Nick Giles from B. Riley Securities.
Unknown Analyst: This is [ Fedor Shabowin ] asking a question on behalf of Nick Giles. And I have a few ones on the sale of BTC Mining business. First, maybe could this side be sold separately? Or are you considering only the wholesale just to 1 counterparty? And how should we think about the valuation in this case, the valuation of your Mining business?
Aroosh Thillainathan: I'll take that one. Yes, we had interesting inbounds of the acquisition of the whole business for now. And we are already progressing well in the sale of the whole business. And I remain positive to update the market in due course about progress in the business. In terms of valuations, we haven't made any statement to the market yet. But if you look at the overall valuations on the market, you can find sale of mining businesses in the range of EUR 30 million, EUR 40 million per exahash to EUR 80 million, EUR 90 million per exahash. And I think we will be in a position not to slip out of this range. I expect more to provide more positive news to the market soon.
Unknown Analyst: That's helpful. And are there any sites that could be retained for HPC purposes potentially?
Aroosh Thillainathan: So from the Mining business-wise, it's more -- there's a lot of purpose-built infrastructure to run and operate mining facilities. And in my opinion, you can't really compare there that to needed Tier 3-ready infrastructure to power the AI business, one of the reasons why we are selling the entire Mining business as a whole, but the company invested a lot of time and resources in ramping up our own sites on the Tier 3-ready data center aspect. That's the reason why we're not keeping specifically built ASIC facilities to repurpose into AI facilities.
Unknown Analyst: And if you allow me to squeeze the last one quickly. You're expanding your HPC footprint in the United States, right? And if you can just remind us, what would you expect from new administration? Any impact or influence on your plants in Georgia?
Aroosh Thillainathan: It's correct. So we have plants in Georgia, and we also bought a site in Pittsburgh, Pennsylvania. And for now, for our plant capacity, it's progressing really well as we started the build-out of the Georgia site from a new administration perspective. As you know, energy access is the most important part to scale these operations and positive developments in getting access to more energy, of course, will be a big win.
Unknown Analyst: That's all helpful. Continued best of luck. I'll turn it over for now.
Aroosh Thillainathan: Thank you.
Operator: Our next question is from Kingsley Crane from Canaccord Genuity.
William Kingsley Crane: Congrats on a really remarkable fiscal '24. So first question, can you speak more to the customer diversification efforts? It sounds like the 4K additional capacity is being acquired by an existing leading customer. So just how to think about the balance of selling to your existing leading customers and then acquiring some new customers?
Elliot Jordan: Kingsley, I'll take that one. We've been quite fortunate, actually, as GPU capacity has increased throughout the year that our existing customer base has wanted to take that capacity and actually grow with us. Over Q4, we had revenue from 9 customers, so high single digits in terms of diversity of customer base. But we are concentrated within that number. And the goal is to expand out that number and diverse away from the existing customers as we bring more capacity on stream, as you say. But we actually have a very good relationship with our customer base and the fact they want to grow with us, I think is a good sign. It shows that our team is doing a great job for the customers. And whilst we enjoy that relationship, I think we should continue to expand with them and diversify where we can. As you say, the capacity that's coming on stream that we've delivered year-to-date, and there's 4K more by the end of March to be at the full capacity, we will look to broaden out from the existing customer base with new customers as we go through this year.
William Kingsley Crane: Okay. That makes sense. And then I understood about the plans for GPU deployments. You've already added upon 4K more in January and plan to add 4K more by the end of Q1. But if we think about the 3 challenges you've faced in terms of time required to finalize highly complex clusters, some delays in component supplies and the availability of co-location, is how should we expect those challenges to continue to, I guess, impact GPU ramping now? And then I guess, in the future, if you plan to acquire more GPUs as well?
Elliot Jordan: Yes. I think we would have liked to have had all GPUs live by the end of last year and the delays that you talked about in terms of, I suppose, the complexity of configuring the GPU clusters for our customer base. But as you say, the delay in sort of key suppliers, including co-location, has pushed that back into Q1. I think we -- I feel confident we're on top of that now. And Adam joining, as Aroosh mentioned, across Q4 has been a major win for us in terms of being able to really sort of focus on how we deploy these GPUs more quickly. And so very, very confident that we'll have the final 2,000 clusters live by the end of this quarter. I think as we move forward, we won't be looking to deploy new clusters in Q2 from where we are today. We'll be looking to increase the GPU base probably in the second half. That gives us a little bit of time to make sure all of our supply chain is lined up to enable that to happen again, more quickly, taking the lessons from these initial clusters forward and developing those out. So this has been a year of learning as we execute and growing and building scale across the teams as well. And because we're getting in a much better place with regards to that, I'm more confident about the speed of execution in terms of deployment as we go through 2025.
Operator: We have a question from Darren Aftahi from Roth Capital Partners.
Darren Aftahi: Congratulations on the nice results. Two, if I may. Just on your AI Cloud business, like as next generations of GPUs are rolled out, like how are you thinking about price stability in your business? And then I guess, secondarily, how do we think about the mix of shorter-term duration versus longer-term contracts in the cloud business? So when I say longer term, like greater than a year?
Aroosh Thillainathan: Yes, I'll take that one. The prices of GPUs remained fairly stable, around EUR 2 during the last quarter. And we tried to get our first acquisitions of the contracts in the longer-term contracts. And as we already own, it was a nice proof point to us as we already own the prior generation hardware of the H100s. So now we have the H100s and the H200s acquired. But prior to that, we also bought the A100 GPUs from NVIDIA. And we are surprised to see still a high demand on a fairly competitive price range. This proves actually our expectation that these hardware that we are acquiring will have a longer lifespan than we even initially thought, which keeps me positive for the coming years that we can utilize these GPUs on a much longer pace.
Operator: Thank you. We currently have no further audio questions. So I'll hand over to Jose for any webcast questions.
Jose Perez: Thank you, Becky. Yes, I've got a high-level question here, I think, for Aroosh. How do you see the AI market evolving? And have you seen any new competitors in Europe? What color can you share on that?
Aroosh Thillainathan: There always depends. On the infra side, at least, we see players to join and build infrastructures. But at the scale we are operating, at least in possession and deployed, I mean, we have 22,000 to 24,000 GPUs over the generations deployed now. I think this still remains unmatched. And we intend to keep this position with our growth. As we said, our digital assets Mining business sale, progressing really well. And obviously, we are going to recycle the revenues -- I mean, the proceeds out of that to grow our business. This will keep us in a leading position on that.
Jose Perez: Perfect. Thank you, Aroosh. I have another short question. This is for Elliot. How is the annual audit process going? Are you confident that the financial statements will be published at the end of March?
Elliot Jordan: Yes. Thanks for that question. Very confident we'll have the annual accounts published by the end of March 2025. The audit is going well. Relationship with the auditors is very strong. And already, we've completed some field work in terms of work that the auditors have needed to do for the full year audit. So yes, absolutely, we really have built, I think, quite a good infrastructure across finance and internal controls over the last 12 months or so, and we're starting to see the benefits of that pay back. The financial reporting team, financial technical team, in a really good place to work with the auditors around the accounts. So yes, on track to deliver in Q1.
Jose Perez: Thank you, Elliot. I think there's a couple of other questions on Mining, which I think Aroosh has already addressed, so I think we're mostly covered on the webcast. Becky, at the moment, are there any other questions on the phone line?
Operator: No, we have no further questions on the phone line.
Jose Perez: Okay. Fantastic. Well, I just want to thank everyone for joining us today. If by all means anyone has any other questions, please don't hesitate to contact us at ir@northerndata.de, and we'll come back to you as soon as we can. Thank you for joining.